Operator: Hello and thank you for standing by for Baidu's Second Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to hand the meeting over to your host for today's conference, Sharon Ng, Baidu's Director of Investor Relations.
Sharon Ng - Director, Investor Relations: Hello, everyone, and welcome to Baidu's second quarter 2015 earnings conference call. Baidu's earnings release was distributed earlier today and you can find a copy on our website, as well as on Newswire services. Today, you'll hear from Robin Li, Baidu's Chief Executive Officer; and Jennifer Li, Baidu's Chief Financial Officer. After their prepared remarks, Robin and Jennifer will answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to those outlined in our public filings with the SEC, including our Annual Report on Form 20-F. Baidu does not undertake any obligation to update any forward-looking statements except as required under applicable laws. Our earnings press release and this call include discussions of certain unaudited non-GAAP financial measures. Our press release contains a reconciliation of unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures, and is available on our IR website at ir.baidu.com. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will be available on Baidu's IR website. I will now turn the call over to Baidu's CEO, Robin Li.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Hello, everyone, and thanks for joining today's call. During the second quarter of 2015, Baidu extended our leadership in key mobile gateways and strengthened our platform, while delivering solid financial results. Our core search business remains robust and continue to exhibit strong growth, attractive profitability and tremendous scalability. We continue to enrich the user experience by enhancing mobile discovery whether through search or maps and improving mobile engagement. We reached new notable milestones of 100 million daily active users for our Mobile Baidu search app and 100 million daily Baidu universal log-ins at the end of June. According to Analysys International, our flagship gateway apps, Mobile Baidu search app and Baidu Mobile Maps were also both among the top 10 most used apps in China as of June 2015, at number three and number eight respectively. Mobile continue to contribute 50% of total revenues. In the past quarter, we boosted both mobile and PC monetization, as we further optimized mobile infrastructure, app formats and targeting. Today, Baidu stands as a cusp of an opportunity of truly rare magnitude, an opportunity that let us redraw the boundaries of our addressable market from online marketing to O2O services. China is in the early stages of a boom in its on-demand economy, but local commerce remains highly fragmented and happens predominantly offline. By our estimates, Qunar and our owned and operated Baidu Nuomi and Baidu Takeout Delivery O2O services together address a RMB 10 trillion local e-commerce market, which includes restaurants, takeout food and grocery delivery, entertainment, online travel and other verticals. In China, there are 24 cities that have more than 8 million people, the size of New York City or bigger. O2O is an area where China has leapt ahead, because the Chinese service sector and local business owners have eagerly embraced what Internet technology can do for them and because Chinese Internet companies are being willing to invest in educating the market and shaping consumer behavior. But it's still the early days. We are optimistic on the outlook of O2O and Baidu has all the key pieces in place to win, indispensable foundational products like Baidu Maps and Mobile Baidu. The strengths of Baidu's brand are enormous traffic resources, powerful data driven technologies like recommendation and logistics optimization, a large and well trained sales force, and perhaps, most importantly, the vision and unshakeable commitment to see it through. The solid performance of our search business has given Baidu tremendous financial and operational leverage and has afforded us the freedom and flexibility to presume major areas of future growth. O2O is the major strategic focus that will define the Next Baidu, a new stage of growth that will unleash not only the potential of our mobile platforms, but also the energy and enthusiasm of Chinese consumers as they increasingly look to mobile to engage and to transact. This quarter, we are reporting for the first time O2O GMV as an operating metric. For Baidu, O2O GMV is comprised of Qunar, Baidu Nuomi and Baidu Takeout Delivery. As we continue to connect people with services on our platform, we more than doubled the GMV year-on-year, reaching RMB 40.5 billion in Q2 2015 and making Baidu the fastest growing e-commerce platform by GMV and the fourth largest in China behind only Alibaba, JD and Ctrip. We will be reporting GMV regularly from this quarter onwards, as we add up our O2O initiatives. Now, for an update on our core search business. The fundamentals of core search remain very robust, with a tremendous growth trajectory ahead. We continue to innovate and find new ways to delight our users with an ever-improving discovery experience. Meanwhile, innovation also delivered increased click-through rate, drove growth in CPC and ensured paid click-through – paid click growth for improved monetization capabilities. Improved voice and image-based search technology drove higher click-through rates and a meaningful CPM increase. In the quarter, for example, we introduced Phoenix Nest images, a deep learning driven system that identifies relevant, attractive images from an online marketing customer's website and automatically and intelligently crops and resizes images and embeds them in paid search app. Ads featuring Phoenix Nest images showed a marked increase both in CPM and in click-through rates. Search queries from mobile devices are highly location sensitive and this opens up a new incremental online marketing opportunity for Baidu focused on local customers. We've made continuous upgrades to our Phoenix Nest bidding system over the past few years and, over the past quarter, we've enabled premium targeting options, allowing our customers to bid higher for demographic and proximity targeting. We are also further realigning our sales force to better service our larger SME customers, as well as our newer base of smaller, local merchants. Now, for progress in mobile and O2O. In Q2, Baidu mobile search reached nearly 630 million monthly active users, up from over 600 million in the previous quarter. Our mobile Baidu search app reached a key milestone of 100 million daily active users, demonstrating the daily habit of our users have formed towards our flagship gateway app. In mobile maps, we hit over 300 million monthly active users and further extended our lead by reaching over 70% of the market by daily active users on Android. With the mobile experience intrinsically tied to location, the map will only continue to play a bigger role in helping users on the move discover new services and points of interest. And we continue to maintain the leading position in app distribution. This strong mobile foundation sets us up optimally to seize the opportunity in local. For local merchants, Baidu offers not only search, but also Baidu Nuomi, Baidu Takeout Delivery to help grow their businesses. Through Baidu Nuomi and Baidu Takeout Delivery, we provide offline brick-and-mortar businesses with an easy way to establish an omni-channel presence that can improve efficiency and drive incremental repeat businesses. Over the past year, we have been busy integrating Nuomi into Baidu family, aligning the sales force and upgrading its backend systems. And now, Baidu Nuomi is ready for prime time. A few weeks ago, I announced that Baidu would commit RMB 20 billion to address the vast local e-commerce opportunity that over time will build to become a profitable multi-billion dollar business. We are being very happy with Baidu Nuomi's rapid ascent and astonishing momentum. Baidu Nuomi has nearly doubled its market share by GMV, since January this year, experiencing exponential growth after running several successful campaigns between May and July. In the month of June, Baidu Nuomi nearly tripled the number of new users as compared to March. Over the past 30 days, keyword searches on Baidu search for Nuomi more than doubled year-over-year, that's multiple times faster than its peers. We plan to gain GMV market share by further penetrating high priority cities and verticals. Baidu Nuomi now covers 400 cities and is currently number one by GMV in about 60 of them. Restaurants are the most important vertical for local e-commerce. We have further segmented the merchant base by first targeting large restaurant chains and will work to further expand the merchant base from there. Beyond restaurants, key verticals to further expansion include movie ticketing and other local entertainment. Baidu Nuomi's strategy is differentiated from its competitors, in that it works more closely with merchants to drive repeat users through the Membership Plus CRM programs such as stored-value card and priority seating, et cetera. We view the relationship with our merchants as one of the long-term relationships working closely with them to grow their businesses. In the current phase of building out our position at this early stage of Chinese O2O, we are deploying offers and promotions to seed the market, nurture our user base, and shape user behavior. We know our users. With our technology and data analytics capabilities, we segment our users and personalize recommendations to them based on time, location, and preferences. We tailer promotions based on user profiles and their relative sensitivity to price and convenience, track user adoption and conversion closely and use this metrics to continue to refine our model. The Baidu Nuomi team is primed to execute swiftly our go-to-market strategy and we are very committed to this space. Baidu Takeout Delivery continued its impressive growth more doubling GMV quarter-on-quarter. From its inception last year, Baidu Takeout Delivery has followed a differentiated strategy by working with high quality licensed restaurants and targeting the priced elastic working age demographic. This user segment average food order dollar value on Baidu Takeout Delivery is approximately twice that of our closest competitors. In the span of the year, we have built the largest multipoint to multipoint logistics delivery team in China and deliver more orders than our closest competitors. This technology driven platform enables us to provide a better user experience on average delivering a food order in less than 45 minutes by leveraging our maps, resource allocation and capacity utilization software capabilities. In addition to restaurant, which remain a huge vertical yet to move online, and we are also beginning to work with other local verticals such as grocery stores, convenient stores and flower shops. We have welcomed financial and strategic investors to partner with Baidu to take part in this exciting venture with Baidu Takeout Delivery raising $250 million in a transaction signed last week. We also continue to add more platform partners and build out our ecosystem more fully. In the second quarter, we integrated ride-sharing services including Uber and carpooling services from other providers. With our Maps and – Qunar became the exclusive provider of hotels, Baidu Maps and Nuomi. Online travel is a classic example of O2O, and Qunar, which we fully consolidate in our financial statements, is now included in our O2O & Other business line. Qunar has grown at a remarkable pace since our initial investment in June 2011. Over the past four years, Qunar has established itself as a leading mobile and online travel platform as the number one player in terms of total flight ticket sold, and number two, in terms of room night stayed, in a vertical with a multi-trillion RMB annual market size that is also growing rapidly. We build out our ecosystem more fully through Baidu Connect, which now has over 760,000 merchants. We believe over time, this open platform and infrastructure can help merchants across a huge range of verticals to more effectively reach consumers and convert new leads. Baidu Wallet continue to show strength ending nearly 9 million new active users in the quarter to reach 35 million active users by June. iQiyi continues to standout as the premium online video platform and continues to perform well with Q2 revenue topping RMB 1 billion. iQiyi leads industry with well over RMB 5 million paying subscribers among its vast paid base of over 500 million users. Its self produced shows such as Lost Tomb and popular licensed content such as Running Man were enormously popular among its young digitally savvy demographic. Paying subscribers enjoyed value-added services such as ad free content and instant gratification of watching the entire season of The Lost Tomb rather than waiting for the weekly episode release. Before I hand off to Jennifer, I want to emphasize once again how excited we are by the prospects of O2O. O2O opens our total addressable market in China by a factor of more than 10 to RMB 10 trillion opportunity. Baidu has established a position in online marketing, an industry with an ample runway ahead and continuing to enjoy secular tailwind. But with O2O, we are at the cusp of an even larger earlier stage opportunity, where online penetration is in the single-digits. We are seizing the opportunity to grow our business model beyond online marketing to expand into the rich territory of local e-commerce. This time, we have even greater talent, resources, experience and advanced data-driven technology at our disposal. The new revolution in the services sector is a revolution where technology well makes the difference. We are positioned to win this contest, to capture the opportunity and to build the next Baidu. With that, I'll now turn it over to Jennifer for a look at our financials.
Jennifer Li - Chief Financial Officer: Thank you, Robin. Hello everyone. In Q2, we delivered solid financials with our core search business growing strongly. We further expanded our market leadership position. Search continues to deliver handsome margins and it represents a reliable base of operations from which we've been able to launch successful new initiatives that continues to show traction. Mobile opens up new opportunities. Robin mentioned the vastness of the O2O market. The online penetration of O2O is currently in the low single-digit. With the mobile Internet, O2O presents the opportunity to connect the businesses and consumers. Already, we have witnessed the rapid online adoption of some important services including travel, local transportation and movie ticketing. In each of these, merchants have adopted new ways of doing business and witnessed the active push of Internet companies and consumers readily embracing the Internet for convenience. In these sectors, the online portion has been many-fold increase in penetrating during a span of a few years. Take for example movie ticketing, where the online penetration was 10% in 2012, and now, it stands at approximately 50%. These verticals continue to benefit from strong secular trend. Other verticals such as the restaurants, takeout food delivery and local entertainment are much earlier in their shift online. We believe we can create value for these businesses by bringing new leads, increasing efficiency and maximizing capacity utilization. From this core value proposition, in the context of this massive market opportunity, we're building a new business that defines Baidu's next chapter. Baidu is well positioned to service the O2O opportunity. We already serve nearly all the Chinese Internet users. We understand SMEs who have always comprised the core of our customer base. With mobile, we have foundational product, Map and Search to support and host smaller local businesses. Our newer O2O service has gained great traction. Over the past few months, with every promotional campaign, we have gained market share and witnessed rapid GMV growth. While improving operational efficiency and ROI, we have added new value-added features to deliver better user experience and have seen record add of new users. These market experiments have shown good momentum. Our direction is clear and we'll continue to focus on and invest in O2O in an aggressive, but deliberate manner. With this progress and with these progress and learnings in mind, we will step up our investment in the second half, deploying more targeted promotional campaign and adding offline channels to attract and convert new users. We'll do so while maintaining rigorous standards to monitor ROI results. When looking at the investment and opportunities in the market, we always have our long-term goals in mind. We think about our long-term growth and profitability. O2O is important for the future of Baidu, addressing a much bigger market opportunity and creating a new transaction-based business. What's more, O2O ties directly back to search, further reinforcing the richness, relevance and convenience possible in the mobile age. We're excited by the vast opportunity and our work to build the next Baidu is underway. We prioritize our initiative thoughtfully and will execute diligently and aggressively. To complement the use of our own capital, we leverage existing partnerships and our broader ecosystem. Where appropriate, we have and will continue to invite financial and strategic investors to co-invest with us to help grow these new areas. To provide the investment community with a clearer picture of our business, as well as progress of our growth initiatives, we report the total GMV related to O2O and margin impact of major investment areas. Specifically, for this quarter, GMV was RMB 40.5 billion, reflecting transaction value generated through Qunar, Baidu Nuomi and Baidu Takeout Delivery. Core search commands margin of over 50%. On a consolidated basis, O2O & Others had a negative margin impact of 25.3 percentage points on our overall margin. iQiyi, on a standalone basis, had a negative margin impact of 5.1 percentage points on our overall margins. For the second quarter, total revenue was RMB 16.6 billion, representing 36% year-on-year increase. During the second quarter, Baidu had approximately 590,000 active online marketing customers, a 21% increase from corresponding period in 2014 and a 13% increase from previous quarter. Revenue per online marketing customer for the second quarter was RMB 27,400, a 13% increase from corresponding period in 2014 and a 15% increase from the previous quarter. Traffic acquisition cost as a component of cost of revenue in Q2 was RMB 2.1 billion or 12.7% of total revenue, flat from the corresponding period in 2014. Bandwidth and depreciation cost as a percent of revenue in Q2 were 5.4% and 3.7% respectively compared to 5.8% and 3.9% respectively in the corresponding period in 2014. Content costs as component of cost of revenue were RMB 840 million, representing 5.1% of total revenue, compared to 3% in the corresponding period in 2014. This increase was mainly due to iQiyi's increased content cost. SG&A expenses in Q2 were RMB 3.9 billion, an increase of 81% year-on-year. The increase was primarily due to an increase in promotional spend for O2O. To support our O2O initiative, we expect SG&A to ramp up significantly in the second half of the year setting up 80% to 90% from the SG&A expense in the first half of 2015. R&D expenses in Q2 were RMB 2.7 billion, an increase of 56% over the corresponding period in 2014. The increase was mainly due to an increase in the number of R&D personnel. Share based compensation expenses, which were allocated to related operating costs and expense line items, increased in aggregate to RMB 355 million in the second quarter from RMB 221 million in the corresponding period in 2014. SBC increased due to more shares being granted to Baidu employees. Operating profit for Q2 was RMB 3.5 billion, a decrease of 2.5% over Q2 2014. Total head count on a consolidated basis, including invested entities, was about 50,700 as of the end of Q2. This represents an increase of 8% as compared to the end of last quarter. Income tax expense was RMB 763 million for the second quarter. The effective tax rate for the second quarter was 19%, compared to 15.4% in Q2 2014. Net income attributable to Baidu for Q2 was RMB 3.7 billion, a 3% increase from the corresponding period in 2014. Basic and diluted earnings attributable to Baidu per ADS for the second quarter amounted to RMB 10.22 and RMB 10.19, respectively. Net income attributable to Baidu, excluding share-based compensation expenses, a non-GAAP measure for Q2 was RMB 4 billion, a 7% increase year-on-year. Basic and diluted earnings attributable to Baidu per ADS, excluding share-based compensation expenses, both non-GAAP measures, were RMB 11.23 and RMB 11.19, respectively. As of the end of Q2, the company had cash, cash equivalents and short-term investments of RMB 75 billion. Net operating cash inflow and capital expenditure for the second quarter was RMB 5.7 billion and RMB 923 million, respectively. Now, let me provide you with our top-line guidance for the third quarter of 2015. We currently expect total revenue for the third quarter to be between RMB 18.17 billion and RMB 18.58 billion, representing a 34.4% to 37.4% year-on-year increase. Please note, this forecast reflects Baidu's current and preliminary view and is subject to change. I will now open the call to questions. Operator, please go ahead.
Operator: Thank you. Your first question comes from the line of Eddie Leung from Merrill Lynch. Please ask your questions.
Eddie Leung - Merrill Lynch Far East Ltd.: Good morning. Thank you for taking my questions. I have questions on your O2O & Others business. Robin mentioned a lot of benefits this business would receive from your core search applications. How about the other way round? How this business and applications can help your search business, in the sense that how easy we can separate them into independent businesses without an impact to your core search business? Thanks.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Eddie, I think, as I mentioned, the core search continue to grow very robustly and there are lots of room for growth going forward too. Traditionally, search is considered as a tool to connect people with information, but we think in the age of mobile, search can function as a tool for connecting people with services. When we try to connect people with services, the O2O services we operate will be a very valuable asset. It will ensure that Baidu search users have the best experience, the most smooth user experience when they try to order something from the Baidu search tool. So we are trying to provide a holistic experience for our users or consumers from queries to transaction. So right now, people can search for movie tickets or for restaurants, for lot of things that can be connected to local services, and we provide a lot of those high frequency services through the owned and operated entities like Nuomi and Baidu food delivery. So this is the benefit search can get from the O2O & Other we are investing now.
Operator: Thank you. Your next question comes from the line of Dick Wei from Credit Suisse. Please ask the questions.
Dick Wei - Credit Suisse (Hong Kong) Ltd.: Hi. Good morning. Thanks for taking my questions. I had questions about the core search growth. I wonder if we can share what's the growth rate for core search in second quarter as well as for the third quarter, because I think the third quarter guidance maybe a bit – a little lower than the consensus number. I wonder if you're seeing any of the macro slowdown or any kind of a particular reason for somewhat a lower year-over-year growth from 2Q to 3Q? Thank you.
Jennifer Li - Chief Financial Officer: Dick, I think I've given the information we provided. You can extrapolate the core search revenue performance for Q2. And you do know that we mentioned iQiyi's revenue topped RMB 1 billion for the quarter. You also know that Qunar provides guidance in its revenue into the Q2, and at the same time, if you look at the rest of the revenue, predominant is search, because today, I think the O2O business, commission-based revenue is very minimal. So if you extrapolate that, you can see that core search continues to be very solid, very robust. As we get into Q3 and I think we continue to enjoy very strong growth on the search business. If you look at, I think last year, the sequential growth Q3 versus Q2 was about 12.8% and I think given what we're providing the sequential growth around 11% and year-on-year growth of around mid- 30s (34:46) points, given the large base, I think our business continues to be very solid and very robust. I think, of course, there are still ways to – many ways that we can continue to improve our business. Mobile revenue contributed 50% and I think if you look at the compositions of our customers, we're still in the process of really developing local customers, the customers that are catered to the mobile environment. And so, there are more work to be done on our front, but I think we have – the team has delivered solid results and that the search business continues to be very robust.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Dick, I think one thing you may want to also consider is that we increasingly allocate a lot of resources to our O2O services. This will occupy traffic, search traffic that could affect our core search revenue going forward.
Operator: Thank you. Your next question comes from the line of Alan Hellawell from Deutsche Bank. Please ask the questions.
George Alan Hellawell - Deutsche Bank AG (Hong Kong): Thank you very much. Forgive me, actually a point of clarification. Jennifer, did you mention that our SG&A might rise 80% to 90% in the second half, and if that's the case, would that imply roughly 90% to 97% year-on-year overall growth. And I guess we were thinking initially a 50% year-on-year growth this year, is that correct?
Jennifer Li - Chief Financial Officer: Yes. I think your understanding is correct, Alan. I think given as I mentioned in my earlier comment, we have already started running our O2O business. They're ready for the primetime and we have won promotional campaigns and every activities we conduct, we learn from it. We continue to gain market share. We're very encouraged by the momentum. Second half of the year we step up, for our business would basically double down our investment and we wanted to see a really phenomenal growth continue to come from the O2O. We're very committed to the O2O area and we're very determined to really build that business quickly.
Operator: Thank you. Your next question comes from the line of Alicia Yap from Barclays. Please ask your questions.
Alicia Yap - Barclays Capital Asia Ltd.: Hi. Good morning, Robin, Jennifer, and Sharon. Thanks for taking my questions. My questions also related to your O2O business. So what is management expectation for the O2O GMV excluding Qunar could be in three years' time? What is the reasonable take rate that you can achieve on this GMV and how would O2O ex-Qunar margins to look like in three years? And in related to that, will management have any plans in the future to diverse your O2O business or spin-off into like the Asia listing? Will there be any hurdle for subsidiary spin-off if Baidu remain with the VIE structure? Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Alicia, I think in the O2O area, we pretty much directly compete with a lot of non-public companies such as Meituan, Dianping and some of the Alibaba affiliates. Because of the early stage nature, we'll have to invest aggressively to make sure we will be successful. So when we talk about GMV, that includes pretty much three parts, the Qunar part and Baidu Nuomi and Baidu Takeout Delivery. I think Baidu Nuomi is growing like 200% year-on-year and Baidu Takeout Delivery is growing like 100% quarter-on-quarter. They're all growing very, very fast and together with our peers and competitors, we are educating the Chinese consumers the better way to order services. So eventually, we will be able to take a cut, a sizeable cut from that, but whether that's three-year or five-year, it's really hard to tell at this point.
Operator: Thank you. Your next question comes from the line of Piyush Mubayi from Goldman Sachs. Please ask your questions.
Piyush Mubayi - Goldman Sachs (Asia) LLC: Thank you for the opportunity, Jennifer, Robin and Sharon. In O2O, what is the rational for inviting investors at this very early stage, which seems to be a different strategy from what you pursued in the past. I mean the upside is tremendous here from what you've described. Could you explain the rational on that? Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: I think O2O right now will require a lot of investment and also we would like to build a friendly ecosystem that support the overall Baidu strategy. We think having a strategic or a financial investor in some of the O2O initiatives will help us to do better. Those investors will help to manage and grow our business, because we manage a lot of businesses simultaneously, we want to get help from outsiders not only from the money point of view, but also from a strategic and management point of view, we think those outsiders can help and provide value. Also, they will become a friendly party for the overall Baidu ecosystem, we think that will benefit Baidu in the long-term too.
Piyush Mubayi - Goldman Sachs (Asia) LLC: And Robin, would that friendly party be potentially someone in the fin tech area or would the ability to monetize data that you will be accumulating in the next couple of years be exploited by Baidu itself?
Robin Li - Co-Founder, Chairman and Chief Executive Officer: It really depends case by case and we evaluate all those potential investors and try to assess their value. Sometimes, it's just smart people who are willing to spend time with the management and help us to streamline our operation and provide a more objective opinion on things we are doing.
Operator: Thank you. Your next question comes from the line of Tsang, Chi from HSBC. Please ask your questions.
Chi Tsang - HSBC: Good evening and good morning everybody. Thanks for taking my question. I wanted to ask also about O2O. So Robin, you've outlined your assets and you have a lot of users with that technology advantage as well as a very large sales force. I was wondering if you could discuss some of the biggest challenges to being successful in O2O. Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Yeah. Of course, not only Baidu sees the potential of O2O, I think many other companies also view this as a huge opportunity for them, especially those venture backed companies at a smaller scale. Because they're private, there's not much pressure from them to spend aggressively and the investors like to support those kind of startups. And we have – well, I pointed out, we have advantages in branding, in technology, in traffic, a lot of things. But this is the long-term thing. This requires a lot of commitment, determination and investment. I would say that would be the challenge for Baidu as a public company. We have been public for like 10 years and we need to compete with those non-public companies at this point.
Operator: Thank you. Your next question comes from the line of Ben Lin from Morgan Stanley. Please ask your questions.
Ben Lin - Morgan Stanley Asia Ltd.: Good morning. My question is actually on the search business, very simply where we would – mobile search monetization, I remember that previously you've given a figure that is monetizing about 60% of the PC. How is the figure trending in second Q and how do we intend to continue to narrow the gap? Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Like I mentioned that during the prepared remarks, during the past quarter both PC monetization and mobile monetization went up quite well. So right now, the ratio is higher than the 60% you pointed out. But I think going forward, there will still more room for improvement in the mobile search area than in the PC search area.
Operator: Thank you. Your next question comes from the line of Wendy Huang from Macquarie. Please ask your questions.
Wendy Huang - Macquarie Capital Securities Ltd.: Thank you. Just very simple questions. Regarding the mobile system, previously, you said it was about 42% of the total revenue and also you mentioned earlier that total mobile revenue contribution was just flattish quarter-on-quarter at 50% that we all know that Qunar's actually mobile penetration is certainly higher than this numbers. So does that mean the mobile search revenue contribution to total actually have already picked out, if not, what can actually drive this mobile search revenue contribution to total continue to grow? And also if you can give us update on the top advertising categories and how the competition has changed over the quarter that it would be helpful. Thank you.
Jennifer Li - Chief Financial Officer: I think, Wendy, the Qunar, yes, I think you are aware Qunar's mobile revenue continues to grow very well and it's a bigger proportion of their total revenue. But put that in the context of the overall Baidu consolidated picture, I think if you look at their revenue base in the hundreds of millions versus Baidu space of RMB 16 billion, their only mobile revenue contribution is not going to significantly move the picture. Back to, of course, for the main online marketing service business that Baidu performs, there is still runway ahead of us. Of course, its mobile monetization has not peaked and there are ways that things and jobs that we need to do that, we can continue to improve the mobile monetization.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: When you look at quarter-on-quarter change for mobile revenue as a percentage of total revenue, from Q1 to Q2, there is also some seasonality factors. Mobile search factors usually are higher during weekend and holidays and in Q1, there are Chinese New Year, there are more holidays in that quarter than it is in Q2. So, the traffic mix is not favorable to mobile revenue from Q1 to Q2. And I again said that the PC monetization did well in Q2 too.
Jennifer Li - Chief Financial Officer: And also to your question, Wendy, the top sectors, as just Robin mentioned, we did further improvement on the PC monetization side, the composition for the top sectors hasn't really moved too much and the traditional sectors like medical, education, those continues to be very robust and occupies the top sectors, but at the same time, I mentioned last quarter, our financial services, for example, like real estate and construction work, those kind of local businesses are growing in their contribution to overall revenue. So I think, along the lines of PC that we continue to improve our monetization over Q2, mobile monetization continues to also making progress and there are further runway ahead of us for mobile monetization.
Operator: Thank you. Your next question comes from the line of Zhao, Ming from 86Research. Please ask your questions.
Chun Ming Zhao - 86Research Ltd.: Thank you for taking my question. Robin, if you look at the past 10 years, it is your search technology that really makes Baidu outstanding, but for O2O, the business seems very heavy in the model, and there are a lot of competitions, a lot of subsidies. So my question is what made you feel comfortable to gain market share in this area? Do you think, if the subsidy stops, consumers will still use your service and do you expect to see large consolidations in the space so that each one actually can build a profit model, like in the taxi-hailing segment. Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Ming, if you look at the past like 10 years to 15 years of Baidu's operating history, we are not a pure online company to begin with. In the very early days, we had to rely on on-the-ground sales force to talk to our online marketing customers face-to-face. So along the way, we actually build one of the largest sales force in the Internet space globally. We have presence in hundreds of cities across China. And when the O2O market opportunity presents, we thought it's actually right for us in the sense that not only we have the huge traffic that user demand for services like that, but also we have a very large sales force and operational experience to manage those on-the-ground teams to talk to folks who are not Internet savvy. We have been very successful in that sense. Of course, our technology also give us huge advantage over the competition, especially in the sense of how do we recommend services to our users based on the user behavior data we collected and the technology we have that can have a very good sense on what the users' habits are and how likely they're going to buy something. So we have this kind of technology that's uniquely better than many of the competitors. I think we also have an advantage in terms of capital. We have many billions of dollars in cash and if we need to find the war through substrate (52:12), we're willing to do that. We basically have a deeper pocket than any of the competitors you can think of in the O2O space. So when you consider all those successful factors, we think we are better positioned than anyone else to win this war and that's why we are so determined and confident that this is the way to go.
Operator: Thank you. Your next question comes from the line of Thomas Chong from Citigroup. Please ask your questions.
Thomas Chong - Citigroup Global Markets Asia Ltd.: Hi. Thanks for taking my questions. I have three questions. The first question is about any color about the recent macro headwinds to your advertising business? And the second question is about the trend in operating expenses, any color about the 2016 outlook? And the third question is any color about the cooperation with Uber? Thanks.
Jennifer Li - Chief Financial Officer: Hi, Thomas. I think for your question on the macro headwinds and I think all along the online sector, the Internet sector has enjoyed some level of resilience regardless of the macro environment. We're not totally insulate from the environment, but I think overall, there are just many fundamental drivers and levers that will propel the growth of our business. And so, I think in short, is, we really haven't seen anything, and in particular, with mobile we afforded in also the vast improvement in assets to the Internet users and growth in traffic, business continues to grow very nicely. Operating expenses for 2016 and I think it's a little premature to get into that. And I think if you reflect back on the early part of this year, we set out to do our O2O and we did earlier preliminary work and we find these paths are the paths that we want to pursue and we build upon those momentum and invest determined – in a very decisive manner. And going into 2016, I think this direction is not going to change and I think along the ways, we're going to manage our operating expenses dynamically and making sure that we are spending our money wisely and they're generating the kind of results we would like and continue to build upon that the O2O business that we see will benefit company over the long-term.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: What was the third question, I didn't hear. Okay, Uber operation?
Jennifer Li - Chief Financial Officer: Cooperation.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Cooperation. Yeah, I think that partnership went – is doing very well. We actually have a very tight integration between the Baidu Maps and Uber services. Uber has done a tremendous job in the past eight months. They are number one in many of the Chinese cities and we are trying hard to help them to become even more successful going forward.
Operator: Thank you. Your next question comes from the line of Fawne Jiang from Brean Capital. Please ask the questions.
Sharon Ng - Director, Investor Relations: Hello, is anybody there? We cannot hear any sound. Maybe we should move to the next caller.
Operator: Thank you. Your next question comes from the line of Yoon Jin from Mizuho. Please ask your questions.
Jin-Kyu Yoon - Mizuho Securities Asia Ltd.: Hi. Good morning, guys. Jennifer, you mentioned about doubling down on the O2O space and increasing the SG&A count for this year. I guess in the first couple of quarters this year, what are you seeing in the O2O space from both the advertisers as well as the users to give you that confidence to double down? Can you guys kind of share with us in terms of metrics what percentage of your customers or the users in the last quarter, couple of quarters, are repeat customers? And when you say the ROI, improving in ROI in O2O, how are you comping that, whether you're comping that ROI return versus search or versus other social medias? Can you just kind of give us some color on your confidence in terms of doubling down?
Jennifer Li - Chief Financial Officer: Right. I think starting in Q1 of this year, I think almost every month, we carry out some promotional campaigns. We experiment on different kind of things. And so every campaigns we carry out, we start out setting out a target and we want to identify the kind of number of users we want to recruit, new user base that we want to build, the overall GMV that we want to generate. So we're going into a campaign with clear objective. And as we carry out those campaigns, we come back and reflect on things that we learned and progress or improvement that we can make. And so all along for the past I think few months, over the first half of the year, we continue to see that daily active users is growing at a very fast pace. Our market share for every campaign we carry out is going up and settling at a higher level. Our new users continue to grow with every campaign we carry out and we continue to improve on the conversions, the coverage and the availability and the price of all the products that we offer. So when we track the ROIs, we're basically tracking not really versus other products, because they're not really comparable. We're comparing that with the investment that we put in and see if we continue to generate higher returns for those investments. So obviously, we experiment with multiple channels to promote those – our services and we track the performance of each different channels and the effectiveness of them and make decisions to really increase on spending or modify our campaign activities. We also track the repeat purchases of our users, so as we continue to build on our business and drive on this momentum, we will accumulate a lot of more data and experience with this market and that's what it gives us confidence, as we're going into the second half of the year. We have learned a lot. The business is building on tremendous momentum. We continue to improve our products. And we – as Robin mentioned earlier, we're already market leader in some of the markets that we operate and we are gaining, really narrowing the gap versus our peers. And so that is quite encouraging and that's why we're so committed and determined as we're going into the second half of the year.
Operator: Thank you. Your next question comes from the line of Fawne Jiang from Brean Capital. Please ask your questions.
Fawne Jiang - Brean Capital LLC: Good morning. First question, Robin, you mentioned that your Baidu is committed to invest RMB 20 billion into O2O. It seems like it's a fairly major step-up on sales and marketing this year, which is close to like RMB 9 billion, RMB 10 billion. I just wonder what's the timeframe for the rest of the – I guess the investment and how that impact marketing trend for 2016-2017?
Robin Li - Co-Founder, Chairman and Chief Executive Officer: I'll let Jennifer answer this question.
Jennifer Li - Chief Financial Officer: I think when we made to that, we basically set out a three-year timeline and that would be the commitment that we are prepared to do. Obviously, that takes into account the target GMVs that we want to generate, the efficiency or the ROI level that we today have and the desire level that we'd like to have, and that would be the required or the calculated investment that we think we need to allocate. And obviously, the competitive environment is dynamic, and as we go forward, that we will really approach our business growth in a disciplined and diligent manner, but I think going into – this is a business that we're building that's now going to finish in 2016 or 2017. I think we benefit from many strengths of the platform that we have offers and also the technology, the workforce, the many existing gateways position that we have. And so we leverage that and going into 2016 and 2017, and I think we will see much progress with this business we're just starting.
Operator: Thank you. Your next question comes from the line of Henry Guo from Summit Research. Please ask the questions.
Henry Guo - Summit Research: Hi. Thanks for taking the questions. So real quick one on the city level and the proximity level bidding. So what kind of incremental benefit really at the city-level and the proximity-level bidding delivered to the company so far in terms of incremental number of customers and the incremental spending for customers? Thank you.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: I think it really depend on which kind of customers that is for some of the services if a user is close enough to their store. It's much more likely for them to get them as a potential customer. So they're willing to bid at a higher price. This is what we have seen in reality too.
Operator: Thank you. Your next question comes from the line Hou, Tian from TH Capital. Please ask your questions.
Tian X. Hou - T. H. Capital LLC: Good morning Robin and Jennifer and Sharon. The question related to your verticals and on financial verticals and auto verticals, so China stock market has some issues and in second quarter, I do believe the activities in this area was quite high, however, enter into third quarter is slow. So I wonder if you see any impact in that area. And also in the auto sector, so we noticed that in the past year, you sold Aladdin program to Bitauto, Autohome, but this year, you direct traffic to your own site (01:04:33), so I wonder what's the plan in those vertical Aladdin program. That's all my two questions.
Robin Li - Co-Founder, Chairman and Chief Executive Officer: Well, when you talk about each specific verticals, it could vary from quarter-to-quarter and macro economy could have an effect on that. But overall, Baidu is a quite diversified company in terms of our customer base. So we've given you the guidance for the next quarter and we think longer term the solid growth will continue for our core search business. And in the O2O front, I mentioned to you that in order to support the growth of this sector, especially for our O2O entities, we would allocate more traffic resources to those places that we think we have more control. That's why you see some of the Aladdin resources are used by our internal guys instead of the previous customers.
Operator: Thank you. Thank you, ladies and gentlemen. Unfortunately, we've run out of time for any further questions. We are now approaching the end of the conference call. Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.